Operator: Good day, and welcome to the News Corp's Fourth Quarter Fiscal 2016 Earnings Call. Today's call is being recorded. [Operator Instructions] .
 At this time, for opening remarks and introductions, I'd like to turn the conference over to Mr. Mike Florin, Senior Vice President and Head of Investor Relations. Please go ahead, sir. 
Michael Florin: Thank you very much, Jessica. Hello, everyone, and welcome to News Corp's Fiscal Fourth Quarter 2016 Earnings Call. We issued our earnings press release about 30 minutes ago, and now posted it on our website at newscorp.com. 
 On the call today are Robert Thomson, Chief Executive; and Bedi Singh, Chief Financial Officer. 
 We will open with some prepared remarks, and then we'll be happy to take questions from the investment community. 
 This call may include certain forward-looking information with respect to News Corp's business and strategy. Actual results could differ materially from what is said. News Corporation's Form 10-K for the 12 months ended June 30, 2016, identifies risks and uncertainties that could cause actual results to differ, and these statements are qualified by the cautionary statements contained in such filings. 
 Additionally, this call will include certain non-GAAP financial measurements. The definition of and the reconciliation of such measures can be found in our earnings release and our 10-K filing. 
 Finally, please note that certain financial measures used in this call, such as segment EBITDA, adjusted segment EBITDA and adjusted EPS, are expressed on a non-GAAP basis. The GAAP to non-GAAP reconciliation of these non-GAAP measures is included in our earnings release. 
 With that, I'll pass it over to Robert Thomson for some opening comments. 
Robert Thomson: Thank you, Mike, and thank you all for joining the call. We ended fiscal year 2016 with strong results in the fourth quarter, highlighted by robust year-over-year growth in revenues and EBITDA at Digital Real Estate Services and a palpable upturn at HarperCollins. 
 For the fourth quarter, reported revenues were $2.2 billion, a 5% increase versus the prior year. Total reported segment EBITDA was $361 million, up 68% compared to the prior year. This figure includes a $122 million benefit from the Zillow legal settlement. But even absent that adjustment, EBITDA still improved tangibly in the quarter. 
 In Digital Real Estate, we experienced 21% growth in revenues in the fourth quarter, further illustrating the key role the segment is playing in News Corp's success. In fact, since our separation 3 years ago, revenues at Digital Real Estate have more than doubled, and the segment is expected to become the biggest contributor to EBITDA in the future, thanks to the ongoing growth of REA and the renaissance of realtor.com in the U.S. This increasing role in one of the world's fastest-growing digital sectors augers well for our future. 
 Book Publishing ended the year with much momentum, highlighting the value of high-quality content and the ability to leverage that content across both print and digital platforms. HarperCollins' success this quarter, with revenues rising 11% and EBITDA surging 52% year-over-year, was driven by new releases and thoughtful cost initiatives. 
 Fox Sports Australia had another good quarter, with increased revenues, thanks in part to record ratings, which came from capitalizing on its top-tier content and developing our long-term franchises in the country's most popular sports. The quarter's results certainly underscored the tremendous power of live sports, which have increased in relative value in a world of viewer fragmentation and program promiscuity.
 While global print ad trends remained volatile, we saw modest sequential improvement in the News and Information Services sector this quarter, thanks to reduced costs and the continued development of digital.
 In the fourth quarter, digital revenues accounted for 23% of segment revenues, up from 19% last year. In particular, the success of The Wall Street Journal is a testament to the importance of high-quality content with global appeal. This past quarter, the WSJ reached 948,000 digital-only subscribers, and that total will clearly surpass print subscribers in the near future. 
 In the fourth quarter, we also relaunched the Sun's website, now reaching over 42 million unique monthly users compared with 15 million uniques last September before the lifting of the payable. Our U.K. team is focused on leveraging that immensely valuable brand across platforms, including through our recently announced offer for Wireless Group. We hope to complete the deal in early fiscal 2017 and take full advantage of this valuable media asset, whose recent ratings have continued their handsome growth. TalkSport, the flagship station, experienced an 8.4% increase in audience in the most recent quarter to 3.29 million listeners, according to official metrics. 
 Ruminating on fiscal year 2016 as a whole, we have shown continued progress on our primary goals: to become more digital, global and diversified while containing costs and mixing prudent divestments with strategic investments. We are certainly proud of our providence, and we are a more focused company than we were at our rebirth in 2013. We assuredly believe that we have laid the foundation for sustainable growth and positive returns for our shareholders. 
 Now for the business highlights before Bedi provides the financial granularity. Digital Real Estate continues to burgeon, and it's reshaping the growth profile of News Corp. Our renovation of realtor.com has propelled Move to improve profitability on an operational basis, excluding Zillow legal costs even as we have significantly reinvested in the business. We now look forward to building Move's profitability in the coming fiscal year. With a refurbished reputation, increased marketing and innovative products, Move and realtor.com are attractive record audiences and ever more advertising, thanks to the freshest listings, unique content and tools that benefit both realtors and consumers. 
 Traffic to realtor-related sites grew to a record 53 million unique users in the fourth quarter and has continued to grow in July. Significantly, realtor.com leads the way in engagement. Its users view double the number of pages as the average visitor to Zillow and in fact, realtor.com has greater user engagement as measured by page views per user than LinkedIn, Amazon, Google and Twitter, according to comScore. That is concrete commitment and serious stickiness and patently valuable for advertisers as well as for realtors to benefit from the precious leads that realtor.com provides.
 realtor.com has significantly grown its mobile presence, with mobile traffic increasing to more than 50% of overall traffic in the fourth quarter. Additionally, 60% of page views occurred on mobile devices, with mobile accounting for a majority of lead volume in the fourth quarter. 
 Finally, one must note the $122 million gain from the amicable settlement of our litigation with Zillow. We are naturally pleased with these proceeds, which assisted cash flow for News Corp in the fourth quarter. We can now focus squarely on execution without legal distractions, however, copacetic the outcome. 
 REA continues to strengthen its business in the Australian market. The company had another record year in reported revenues and profitability despite the acquisition cost for iProperty, the leading Southeast Asian property portal. We recently announced the formation of a global property network, which will bring together listings from REA, realtor.com, Mansion Global, PropTiger and iProperty into a comprehensive database accessible to people everywhere, accentuating our position as to the world's leading digital property business. 
 HarperCollins had faced some challenges during the year to -- due to the Divergent Trilogy comps and changes in the e-book marketplace. But with those conditions normalizing, the publisher ended the year strongly. Among the notable success stories are Harper Lee's Go Set a Watchman; Daniel Silva's The English Spy; and books by Anderson Cooper and his mother, Gloria Vanderbilt; and in the U.K., the polymath, David Walliams, now one of the country's leading authors of children's fiction. 
 Looking ahead to the coming year, we are optimistic about Megyn Kelly's much discussed book, Settle For More, scheduled for November; the highly anticipated Veronica Roth release; and Jesus Always by Sarah Young, the legendary author of Jesus Calling, which has been a bestseller for many years. 
 The Harlequin acquisition has contributed to the growing global impact of HarperCollins, including in France, Italy and Brazil. And the publication of best-selling authors like Daniel Silva, Karin Slaughter, Stephanie Laurens and Allison Knowles in multiple international markets. Worth noting is the fact that we achieved our targeted $20 million cost savings following the acquisition and have increased the distribution of leading Harlequin titles. 
 Foxtel, under new leadership, is driving higher subscriber volume, which is a priority for the business. The network had more than 2.9 million total subscribers at the end of the fiscal year. Foxtel continues to improve its content offerings, notably with the acquisition of the rights to the AFL through 2022 and the new agreement with top EPL clubs for broadcast rights, which means that devoted fans won't have to watch their favorite teams in the middle of the night. With the continuing emphasis on sports, original content and enhanced IP devices and offerings, such as the Foxtel Go mobile product, Foxtel will remain focused on driving higher subscriptions, which we believe is key to unlocking value for itself and News Corp throughout fiscal 2017. 
 At Fox Sports, we saw record ratings this quarter, driven by the extremely popular NRL, the AFL and V8 Supercars, the Aussie variant of NASCAR. Our airing of all NRL matches live through the simulcast deal with Channel 9 is proving to be particularly popular, and the resonance should increase with the launch of a dedicated NRL channel later in fiscal 2017. As a result, we expect advertising trends will remain more positive for Fox Sports than for the industry as a whole, with the network continuing to gain audience share. 
 Dow Jones experienced strong digital subscription growth over the past year. Circulation revenue for the year at The Wall Street Journal grew mid-single-digits, thanks to digital expansion and improved pricing. In fact, this year, circulation revenues were higher than advertising revenues, underlining the balanced revenue streams at Dow Jones. 
 Overall, more than 50% of Dow Jones' revenues came from digital this year. That's part of a calculated realignment of the revenue stream and also a testament to the strong and growing value of premium content. Custom content is also a big driver of advertising revenues, and we expect it to represent a larger part of Dow Jones growth going forward. 
 Dow Jones also continued to roll out new and improved products in fiscal year 2016, including WSJ PRO, a watch news app, and the WSJ City app in the U.K., and importantly, a Factiva Mobile app. Factiva is a treasure trove of valuable content, and we are working to customize and enhance the experience for subscribers. 
 On the institutional side, Dow Jones will continue to push high-growth segments, including risk and compliance. As companies are under increasing scrutiny and must necessarily be strictly compliant, we have firm faith in that business, which expanded 34% last quarter compared to a year ago. 
 At News UK, we will continue to leverage The Sun's popular daily news and entertainment features as we enhance our mobile-first strategy. We are bolstering reader engagement through such initiatives as the Dream Team, bingo and sports betting, all of which we expect to see driving incremental revenues in fiscal year 2017. 
 While advertising remains challenging, The Times continues to benefit from its premium content and audiences. According to ABC figures, at the end of June, there were 413,600 subscribers to The Times and Sunday Times, an increase of 3.4% year-over-year. More than 800 -- 182,000 of the subscriptions are digital-only, an increase from 172,000 in the prior year. This past quarter, total print sales for The Times were up double digits versus the prior year. That highlights the power of print as a platform and vindicates our commitment to quality journalism when other media companies were slashing and burning their budgets. 
 News Corp Australia benefited from initiatives that took out 2.5% of fixed costs in the second half of fiscal year 2016, and further savings are expected in the current fiscal year. The company also entered into an agreement to purchase the APN Australian regional media portfolio, which reaches 1.6 million people across print, online and mobile. We expect the purchase, subject to regulatory and APN shareholder approval, to help us grow in Northern Australia and result in significant cost and efficiency synergies in our production and distribution operations. 
 Meanwhile, the Australian newspaper has grown to a record high readership of more than 3.4 million print and digital readers as of May. This represents an 11% jump over the prior 3 months. 
 In the United States, the New York Post had 54 million monthly unique users in June, and 40% of advertising revenues were digital, a figure that could soon surpass 50%. The team has just launched Page Six TV, which has been performing strongly in a 3-week trial across a number of Fox television stations in the U.S., showing the value of that brand in the post stable. 
 News America Marketing ended the year on a strong note, thanks to muscular growth in the install business. Meanwhile, the company is focused on accelerating mobile adoption, notably through Checkout 51. This increasingly popular app consistently ranked in the top 10 of all retail-related apps, above Walmart and Walgreens, helps consumers across country save money and generates a wealth of data, which can be leveraged across a number of News Corp businesses. 
 In fiscal 2017, we expect to continue investing in Checkout 51, with the goal of reaching 10 million users by the end of this calendar year, which we believe is a key milestone in drawing additional offers from our CPG partners, the larger the audience, the more compelling the offers we can present and the greater the loyalty we will win from users. We are seeing that virtuous cycle in motion now at Checkout 51. 
 We have aimed to make the new, news more than a sum of its parts, and that is particularly the case in our exponential digital development. We aspire to be ever more digital and global, and helping us in that mission is a concentration on collaboration as well as on the selective acquisition of tech startups that extend our digital capabilities. For example, the journal, realtor.com and Imagine Global have collaborated to turbocharge realtor.com and distribute content of interest to potential property owners, helping drive engagement across their platforms. Our property sites around the world know we routinely share software, market metrics and listings data. 
 Storyful supplies video to a variety of News Corp mastheads, including the Sun, the New York Post and The Wall Street Journal as well as sharing expertise with HarperCollins to extend its video outreach. Unruly is providing valuable advertising metrics to enhance the brand building of our companies as well as assisting external clients with its unique expertise. 
 The rapid pace, which the contemporary world is turning, with attendant economic and social upheaval, has put a premium on premium content, fast, accurate news and information upon which investors and all citizens rely. Insight is invaluable in these complex times. 
 We believe News Corp is ideally positioned to meet this broad-based societal demand, whether it's Storyful, separating user-generated video facts from video fiction, or our global Digital Real Estate platforms, giving the most complete and accurate data to consumers, along with independent analysis to inform investment decisions. 
 In particular, our strategy will focus on areas including: product development, particularly in mobile and video, to drive engagement across our properties; leveraging and further monetizing data, beginning with an important initiative this year, linking our U.S. audiences to create a powerful digital network for advertising clients; and capitalizing on opportunistic acquisitions to further buttress our revenue stream and to fortify the foundations of future growth. This strategy is designed to enhance our businesses in transition, to accelerate revenue growth, particularly at our real estate franchise, and to ensure long-term robust return to our investors. 
 For the fine detail, I now hand you over to Bedi. 
Bedi Singh: Thanks, Robert. Starting with our fourth quarter results. We reported fiscal '16 fourth quarter total revenues of $2.2 billion, up 5% from the prior year. As we had hoped, currency headwinds moderated during the quarter, with an impact of only $54 million to reported revenues. 
 As we mentioned previously, this being a 53-week fiscal year for us, fiscal fourth quarter includes an extra week, which positively impacted revenues by $112 million, with the majority of that at News and Information Services segment. Excluding the impact of foreign currency fluctuations, acquisitions and divestitures, adjusted revenues grew 6% compared to the prior year, including the extra week, and we're relatively flat excluding that. 
 Reported total segment EBITDA was $361 million, which includes a benefit of $122 million related to the Zillow settlement. Excluding that benefit, total segment EBITDA would have been $239 million. Adjusted EBITDA, which excludes the settlement benefit as well as acquisitions, the impact of currency and legal costs related to the U.K. Newspaper Matters grew 23% versus the prior year period. Both reported and adjusted EBITDA also include the impact of the extra week that I mentioned earlier. 
 For the quarter, EPS from continuing operations, which includes the Zillow settlement benefit net of tax, were $0.16 compared to $0.01 in the prior year. Adjusted EPS from continuing operations were $0.10 versus $0.08 in the prior year. 
 For the full year fiscal '16, we reported total revenues of $8.3 billion, a 3% decline compared to the prior year. The decline in revenues included a negative impact from foreign currency of $455 million. Excluding the impact of foreign currency, acquisitions and divestitures, adjusted revenues for the year were flat compared to the prior year. 
 Reported total segment EBITDA was $684 million, which includes a onetime charge of $280 million for the settlement of litigation and related claims at News America Marketing and the onetime gain for the Zillow settlement I mentioned earlier. Negative foreign currency impact reduced segment EBITDA by $70 million this year. Adjusted EBITDA, which excludes both the settlements as well as acquisitions, the impact of currency and legal costs related to the U.K. Newspaper Matters, declined 4%. And for the year, EPS from continuing operations were $0.28 compared to $0.51 in the prior year, and adjusted EPS from continuing operations were $0.40 versus $0.59 from the prior year. 
 Now let's turn to the individual operating segments through a fourth quarter review and some full year highlights. In News and Information Services, revenues for the quarter rose 1% from the prior year to $1.4 billion. Adjusted segment revenues rose 2%. The extra week added $77 million to revenues or approximately 5%. Within segment revenues, advertising declined around 5%, or down 7% in local currency and excluding the impact of the 53rd week, which was similar to the full year rate and the prior year rate. This was also a sequential improvement from the low double-digit rate decline in the prior quarter. 
 Circulation and subscription revenues increased 5% or up 1% in local currency, and excluding the 53rd week, were relatively stable with last quarter and the prior year. News and Information Services reported segment EBITDA this quarter with $160 million, down 5% versus the prior period. The decline was driven by lower advertising revenues as well as investment spending and acquisition-related costs in connection with Checkout 51 and Unruly. These declines were partially offset by the impact from the additional week in the quarter and lower operating expenses. Adjusted segment EBITDA increased 10% compared to the prior year. 
 Looking at performance across our key units and excluding the extra week in each case. At Dow Jones, domestic advertising at The Wall Street Journal declined around 12% versus the prior year quarter, with declines in print being partially offset by modest growth in digital. Digital accounted for approximately 1/3 of Dow Jones' ad revenues this quarter. 
 Wall Street Journal circulation revenues grew 5% this quarter due to higher subscription pricing and higher digital paid subscribers. We implemented a $4 subscription price increase in July, which will be phased in over the next 12 months. And circulation revenues at The Wall Street Journal have now surpassed total ad revenues in the current fiscal year. Dow Jones' contribution to segment EBITDA increased this quarter and for fiscal 2016. At News Australia, advertising revenues for the quarter declined 13% or about 9% in local currency, relatively similar to last quarter, with local outpacing national. Circulation revenues at News Australia declined 3%, but were slightly up in constant currency as a result of cover price increases and higher paid digital subs, offsetting print volume declines. As expected, we continue to see the benefit of the cost-reduction program implemented at the end of Q2 and realized approximately AUD 40 million in the second half and expect to capture further savings in fiscal 2017. 
 At News UK, advertising revenues declined 16% or down 10% in local currency, an improvement from the prior quarter. Circulation revenues at News UK were relatively flat versus the prior quarter, driven by a lift in paid volume at The Times and cover price increases taken this quarter for both The Sun and Times. In Q4, The Times saw high single-digits paid volume growth, likely benefiting from Brexit coverage. At News America Marketing, revenues were relatively flat versus the prior year, excluding the extra week, a marked improvement from the prior quarter. 
 Domestic FSI revenues declined 14%, although the rate moderated from the prior quarter. In-store revenues grew mid-teens and digital, which only accounted for 5% of revenues this quarter, doubled, partially benefiting from the expansion of Checkout 51. 
 Turning to the Book Publishing segment. Revenues increased 11% and segment EBITDA improved 52% versus the prior year as comparables versus the prior year have begun to normalize. This quarter benefited from a strong new release slate from Anderson Cooper, Cameron Diaz, Cynthia Sweeney, David Walliams in the U.K. and an improvement in Christian publishing as well as the impact of the 53rd week. Total digital revenues for the quarter were 19% of consumer revenues, down from 23%. 
 In Digital Real Estate Services, total segment revenues increased $40 million or 21% to $229 million, which includes the consolidation of iProperty and DIAKRIT, both of which closed in February. Total reported segment EBITDA was $175 million, which reflects the impact of the settlement with Zillow. Excluding that, segment EBITDA would have been $53 million, up from $45 million in the prior year. Adjusted revenue grew 17% and adjusted EBITDA, which is inclusive of the $15 million of legal expenses at Move related to Zillow, grew 24%. 
 REA's revenue grew 17% or approximately 21% in local currency due to higher list depth product penetration. Move revenues rose 21% versus the prior year, driven by strong growth in the connection for co-broke product, higher non-listing media revenues and an improvement in the professional software revenues led by Top Producer. Unique user growth at realtor.com remained strong, up 17% year-over-year to 53 million average per month for fiscal Q4. 
 For the full year, Move's revenue was $357 million, up 27% on a stand-alone basis. And as we had expected, Move had a positive contribution to segment EBITDA, excluding the impact of legal costs and the settlement gain, but including stock-based compensation. This improvement came despite reinvesting for growth, and we expect to build on that momentum in fiscal 2017. 
 In Cable Network Programming, revenues increased by $14 million or 11% compared to the prior year quarter. On a currency-adjusted basis and excluding the 53rd week, revenues rose around 7%. In local currency, and again, excluding the 53rd week, subscription revenues improved around 6%, and advertising revenues rose high single digits, reflecting record ratings, with viewership up mid-teens, driven by the NRL and V8 Supercars. 
 Segment EBITDA in the quarter rose 5% on a reported basis and 14% adjusted for currency and reflects additional costs related to the simulcast of 3 additional NRL matches per week from Channel 9, as we indicated on the last earnings call as well as a modest benefit from the extra week. 
 With respect to earnings from affiliates, Foxtel ended the quarter with more than 2.9 million total subscribers, with cable and satellite subscribers increasing approximately 5% compared to the prior year period and higher Presto subs despite ongoing competition from SVOD players. Foxtel revenues for the quarter declined 2%, but were up 2% in local currency, and EBITDA declined 5% or down 1% in local currency due to higher programming costs and an increase in subscriber acquisition costs, driven by new offers launched in January. 
 As expected, churn in the quarter rose to 14% from around 10%, a similar trend with the prior quarter, largely due to nonrenewal of no contract offers. Importantly, underlying year-on-year churn data, when adjusting for the impact of new customer offers, has been stable. ARPU for the quarter was down approximately 3% to around AUD 89. 
 Capital expenditures from continuing operations for fiscal '16 was $256 million, down from $308 million in the prior year, in line with our expectations. Fiscal 2016 included a tax benefit of $106 million from the release of valuation allowances resulting from the disposal of the Digital Education business in our fiscal first quarter. As a result, the company recorded an income tax benefit of $54 million for the fiscal year. 
 On an adjusted basis, which excludes that benefit, restructuring and other onetime items, our underlying tax rate was 32.9% for the full year. We expect in fiscal 2017, our normalized tax rate will be in a similar range to fiscal '16. 
 Turning to the balance sheet. Cash at 30th of June was $1.8 billion, and we had total borrowings of $369 million related to iProperty. Subject to court approval, we expect to pay out the remainder of the News America settlement accrual of around $250 million in the first quarter of fiscal '17. 
 On June 30, we announced an offer for Wireless Group plc in the U.K., which is expected to close in the first half of this fiscal year, pending regulatory approval and satisfaction of other conditions. We have set aside $315 million for this acquisition as restricted cash on the balance sheet as a result of U.K. takeover panel rules. 
 Heading into the new fiscal year, there are a few points to note. Advertising trends remained volatile and visibility continues to be limited, and we continue to aggressively seek out cost reductions. Fox Sports Australia will face an incremental AUD 10 million in Q1, similar to fiscal fourth quarter related to the simulcast of NRL matches. No major sports rights renewals are expected this fiscal year. 
 For Digital Real Estate and REA, listing volume in July was negatively impacted by uncertainty around the federal election, and first half revenue growth will likely be skewed to the second quarter. 
 And finally, on currency, if the spot rate for the Australian dollar holds at current levels at around $0.75, we would expect a modest benefit to the full year as compared to fiscal '16. 
 And with that, let me hand it over to the operator for Q&A. 
Operator: [Operator Instructions] We'll go first to John Janedis with Jefferies. 
John Janedis: Bedi, can you talk more about the magnitude of the expected cost savings in the Australian print segment beyond the $40 million, given some of the synergies you spoke to? And are there any other programs in the U.S. or U.K.? And then on a related topic, given the headlines in the regions, could you just talk more about current trends you're seeing on the print side, on advertising to start the first quarter on a global basis? 
Bedi Singh: Thanks, John. So on cost reductions in Australia, we had previously said that the annual program was around 5%, and 2.5% was realized in fiscal '16, and we expect the remainder of that to sort of flow-through in fiscal '17. On top of that, I know the Australian operation continues to examine a number of opportunities in sort of shared service functions, et cetera. So I think we would expect to see slightly higher cost savings even than that in Australia. In the U.S., Dow Jones has been cutting costs, headcount was 6% lower this year than it was the year before. In addition to that, they are looking at a lot of the structural issues at Dow Jones, and we expect further cost-reduction programs to be implemented this year. In the U.K., there was a big cost-reduction program we announced, if you recall, in late January, February, that's being implemented. FTEs are down 8% year-over-year and the marketing spend is slightly higher, but the guys in the U.K. are also looking at backroom savings, and they're looking at some consolidation opportunities. 
Robert Thomson: Yes, just to supplement what Bedi said. John, generally, there's a culture of cost consciousness in the company, as Bedi explained, clearly, there's a shift transition going on in the businesses. Print is still very precious to us, but digital ever more important, and our teams are being realigned accordingly. The other aspect that we're focusing on and we're certainly seeing savings, and a little difficult to quantify, but we'd be able to articulate it, over time, to you more precisely is in sharing services. And that's, for example, particularly the case in the U.K., where the businesses occupy a single building, which gives us an opportunity to examine what is the right size of services for contemporary business. As for ad performances, as Bedi had previously indicated, there is a problem with visibility. There's a certain amount of political instability that has been in Australia with an election and the uncertainty that followed it. As you know, we're in the midst of an interesting election in the U.S., and there has been some upheaval in the U.K. There's no doubt that, that has had something of an impact on the business in the last quarter. Looking ahead, visibility is a bit of an issue. But I think there's a lot more fundamental, more profound issue, which is, there's a lot of instability in the ad market itself. A lot of advertisers are questioning the return on investment, and we see a particular opportunity being host to a portfolio of premium sites to provide them not only with settings appropriate for their advertisements, i.e., high-quality content, but measurability. And we talk about visibility, of course, but viewability is very important. And it's interesting that there's an angst-driven debate in the advertising world about the viewability of ads. As I've said before, and it's worth emphasizing again, every print ad is a 100% viewable. 
Operator: And we'll now take a question from Entcho Raykovski with Deutsche Bank. 
Entcho Raykovski: My question is around the acquisition of the Wireless Group. You're able to talk a little bit more about the strategy behind the acquisition. In particular do you see cost-saving opportunities when you combine it to the remainder of the U.K. [ph] growth, or do you see a revenue opportunity from the acquisition? 
Robert Thomson: Entcho, it's really a revenue opportunity. What you have in Wireless Group, and obviously, the acquisition is pending, is a series of radio stations, websites and actually global sports audio rights that very much complements not only the strength of The Sun, but those of The Times. And it's certainly our intention to develop Wireless Group, but also to use it, to develop the Sun platforms because you can see a wonderful overlap of demography and also an enduring growth in its audience. Radio is, these days, unlike some content forms, not subject to the vicissitudes of piracy. So we're very optimistic about Wireless Group. We're very optimistic about its potential for all of the News U.K. Properties. And just for example, its potential impact on Sun Bets,  which is -- they've rolled out this year in the U.K. by Rebekah Books and the team. Obviously, during a football match, making the broadcast for football match exciting, compelling for quite a lot of listeners and quite a lot of readers, the opportunity to have a flutter is something that they're interested in. And so from the sport itself, from the sport extensions, right through to the newspapers, we can see genuine concrete benefits. 
Operator: We'll now take our next question from Eric Katz with Wells Fargo. 
Eric Katz: So you made quite a few moves in Australia recently from acquiring APN to -- we've seen some recent news around some investments to upgrade paper quality and also shutting down some papers and even speculation of a sale of some local papers. Could you maybe give us a little more perspective into the strategy to reshape the newspaper business in Australia? 
Robert Thomson: Michael Miller and the talented team in Australia are looking for synergies across the papers, across the websites, and clearly, you can create a network effect because each of these newspapers is a platform, and those platforms are complementary. And the other element to bear in mind there is it obviously helps us with those regional papers to develop in the Queensland, in particular, to develop the REA franchise. 
Operator: We'll go now to Tim Nollen with Macquarie. 
Tim Nollen: My question is actually about the Books division. A couple of things. I think, Bedi, you might have mentioned the e-book revenue was 19%, if I heard that correctly, down from 33%. Could you please clarify if I heard that right? And if so, why such a sharp drop? I guess, it must be the mix of titles, and kind of what that means for your print versus your e-business? And then a second question on the industry, also on the books business, is do you give a breakout of international sales within HarperCollins? You mentioned a good global expansion there. 
Bedi Singh: Tim, digital revenues were 19% versus 23%, not 33%. So it wasn't that big a drop. But yes, you are right, every quarter, the mix will change a little bit, depending on the books and how they are indexed in terms of physical versus digital. But we see, overall, the digital sort of percentages stabilizing. And we're also seeing good growth in physical books. So in terms of international, we don't break out the international revenue. But I think we've been very pleased with the Harlequin acquisition. I think we've announced in the past a number of authors whose books we've taken in different languages. We used to be just predominantly an English-language publisher. Now we publish in all the major languages. 
Robert Thomson: I'd just like to add to Bedi's thoughts there, which we had taken out costs at HarperCollins, we've taken out cost of Harlequin, so the upturn in revenue is particularly enhanced EBITDA in the most recent quarter. And as we've indicated, we're very confident about the momentum in the book industry. And just one example of the synergistic relationship between Harlequin and HarperCollins. Traditionally, Harlequin was just a mass-market publisher. And so you didn't see it in trade locations, your typical corner or independent bookstore. And now because of HarperCollins' power placement, you are, and for some of those titles, traditional Harlequin titles, combined with an enhancement of covers and presentation, generally, you're seeing that Harlequin authors are getting anywhere between -- certain authors, not all authors, certain authors getting anywhere between a 50% to 100% increase in revenue per title. 
Operator: We'll go now to Fraser McLeish with Credit Suisse. 
Fraser McLeish: Bedi, can I just check, did you say that Foxtel EBITDA in the fourth quarter was down 1% on an adjusted basis? 
Bedi Singh: Yes, that's correct. On an adjusted basis. 
Fraser McLeish: Great. So that rate of decline has kind of been coming down over the course of the year. And are you sort of more confident you're now at a level where that can -- we can sort of get some growth back from here? 
Bedi Singh: Well, I think at Foxtel, the key mission, in a sense, is still driving subscriber volume so that we create long-term value, both for Foxtel and its partners. So I think we will continue to see -- we will continue to have offerings in the market, and that might mean that we have to continue investing in some marketing. But we're focused on volume, and at this stage, we're not really giving any sort of guidance on where the EBITDA might be. I think we're very focused on -- the PT [ph] very focused on making sure we drive subscriber growth. 
Fraser McLeish: Could I just ask, just about the cost -- could I ask about the cost base in general at Foxtel? I mean, you're talking about sort of more better control or looking at cost across the group. Is there opportunity to reduce costs at Foxtel? 
Bedi Singh: Yes, I think definitely. I think Peter Tonagh and his team are looking at all aspects of costs, including set-top boxes, and we're looking at all the agreements we have in place to try and see whether we can improve on profitability. It's a constant ongoing thing they're doing. 
Robert Thomson: And to add to Bedi's thoughts, clearly, Peter Tonagh and his team want to focus on the core marketing of the core Foxtel offering. That is the key for growth, not only at Foxtel, but also at Fox Sports. We're -- thankfully, we're seeing a take-up of the Fox Sports package in new Foxtel subscriptions well into the 90% range, which is indicative of Fox Sports' power, but also indicative of the importance of Foxtel as a conduit for those subscriptions. 
Operator: We'll take our next question from Craig Huber with Huber Research Partners. 
Craig Huber: Yes, just curious, for Move, realtor.com, what was EBITDA on the fourth quarter and the full year? And if you could pull out the legal expenses, that would be helpful, please. 
Bedi Singh: So in terms of legal expenses, for the full year, we spent $38 million, and it was $15 million in the quarter. We're not breaking out a specific EBITDA number for Move, but I think it's fair to say we're very, very, very pleased with the way Move has performed. And it is EBITDA positive, very nicely, if you exclude the legal expenses and even if you exclude stock-based compensation expense. I would say that we've invested a lot in Move in terms of marketing and new products. And I would say that Move is better placed today in terms of EBITDA than it was in its last year as a public -- stand-alone public company 18 months ago, and we expect that this EBITDA is going to ramp going forward. 
Robert Thomson: And just to reemphasize what Bedi said, that in -- our core EBITDA was nicely positive. And unlike many digital companies, our core EBITDA does indeed include stock-based compensation. 
Operator: We'll go to Doug Arthur with Huber Research. 
Douglas Arthur: Bedi, adjusted EBITDA of $274 million, up 23%. I'm not -- maybe I missed this. What impact, if any, did the extra week have on that number? 
Bedi Singh: So we've given out the revenue impact of the extra week. On the EBITDA impact, I think it's -- you can assume that the quarterly margin for each segment can be applied to revenue to sort of derive the -- the revenue impact was $112 million for the quarter, majority of it was in News and Information Services. 
Operator: And next, we'll take a question from Brian Han with Morningstar. 
Brian Han: Just a couple of quick ones. For Fox Sports, what percentage of Fox Sports revenue is from advertising? And also, how much debt -- net debt is in Foxtel now? 
Bedi Singh: So advertising is about 20% of total revenue, and it's been growing quite nicely, thanks in part to the very strong ratings we've been having. And sorry, the second part of your question was? 
Brian Han: How much net debt is in the Foxtel vehicle? 
Bedi Singh: It's about $3 billion in total debt in Foxtel's financial statements. And by the way, we'll be filing those financial statements along with our 10-K, so you should be able to get a full detail of the debt position. 
Operator: Our next question will come from Sacha Krien with CLSA. 
Sacha Krien: Just a couple of questions for Bedi, please. Just, Bedi, you've called out the legal cost on Move for this financial year. Just wondering if you can do the same for News America Marketing and whether there's any reason those costs won't fall away. And then secondly, just in relation to sports rights renewals, I think you mentioned, there weren't any major renewals on the horizon. Does that also apply to Foxtel? I thought maybe we had the AFL rights at least coming through this year? 
Bedi Singh: So on NAM, we haven't actually broken out the numbers. It's fair to say that we incurred significant legal cost in fiscal '16, and we will expect those to be considerably reduced going into fiscal '17. On the sports rights renewals, we actually renewed the AFL deal at Foxtel recently, so we don't expect any additional AFL-type renewal at Foxtel. 
Robert Thomson: We have both the AFL -- through Foxtel and Fox Sports, we have the AFL and NRL rights up to 2022, and I have to say, we're delighted with the ratings this year, particularly the NRL ratings at Fox Sports. And Patrick Delaney and the team there are doing a wonderful job of highlighting the value of the franchise. 
Operator: [Operator Instructions] And we would take our next question from Raymond Tong with Goldman Sachs. 
Raymond Tong: Just a question on the U.K. business. Can you maybe give a bit of color on your expectations and the impact of Brexit on the business, please? 
Robert Thomson: Generally, we haven't seen a particular impact of Brexit. There's been a little less economic uncertainty, there have been very stimulus measures promised by the Bank of England. We're seeing how the government responds. To be honest, the most important thing will be, more generally, the economic policy of the U.K. government. And it's fair to say that one clear sign of our confidence in the U.K. was our planned acquisition of the Wireless Group. Certainly, it's our hope that the U.K. government will take advantage of the opportunity to introduce policies that are pro-growth. And if that's the case, then we would expect all of the businesses to thrive and for us to be in a position to take advantage of that circumstance. 
Operator: It appears there are no further questions at this time. Mr. Florin, I'd like to turn the conference back to you for any additional or closing remarks. 
Michael Florin: Great. Thank you all for joining, and have a great day, and we'll talk to you next quarter. 
Operator: This concludes today's call. Thank you for your participation. You may now disconnect.